Operator: Good morning, and welcome to Syros Pharmaceuticals' Fourth Quarter and Full Year 2020 Financial Results Conference Call. [Operator Instructions] This call is being webcast live on the Investors and Media section of Syros' website at www.syros.com. Please be advised that today's call is being recorded. [Operator Instructions]  
 At this time, I'd like to turn the call over to Naomi Aoki, Vice President of Corporate Communications at Investor Relations at Syros. 
Naomi Aoki: Thank you. This morning, we issued a press release with our fourth quarter and full year 2020 financial results, along with anticipated future milestones and recent accomplishments. This release is available on the Investors and Media section of Syros' website at www.syros.com.  
 We will begin the call with prepared remarks by Dr. Nancy Simonian, our Chief Executive Officer; Dr. David Roth, our Chief Medical Officer; and Joe Ferra, our Chief Financial Officer. We will then open the call for questions. Dr. Eric Olson, our Chief Scientific Officer; and Dr. Jeremy Springhorn, our Chief Business Officer, are also on the call and will be available for Q&A.  
 Before we begin, I would like to remind everyone that statements we make on this conference call will include forward-looking statements. Actual events or results could differ materially from those expressed or implied by any forward-looking statements as a result of various risks, uncertainties and other factors, including those set forth in the Risk Factors section of our annual report on Form 10-K that we filed this morning and any other filings that we may make with the SEC in the future. In particular, the extent of which the COVID-19 outbreak continues to impact our operations and those of third-parties on which we rely will depend on future developments, which are highly uncertain and cannot be predicted with confidence.  
 Any forward-looking statements made on this call represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update or revise any forward-looking statements.  
 I would now like to turn the call over to Nancy. 
Nancy Simonian: Thanks, Naomi, and good morning, everyone. Thank you for joining us today as we review our recent progress. 
 2020 marked a year of remarkable progress for Syros. Our vision has always been to build a great and enduring company that makes a profound difference for people living with cancer and monogenic diseases. In recent months, we made significant strides toward achieving that goal. We focused in on 3 key strategic priorities to fuel our growth. We expanded our clinical stage portfolio with the acquisition of SY-2101, and we fortified our cash position through 2 financings which together resulted in gross proceeds of over $165 million.  
 As we enter 2021, we are focused on executing against the ambitious strategy we laid out last year, with a goal of rapidly maturing Syros into a commercial stage biopharmaceutical company. Our strategy is rooted in 3 priorities: advancing a leading franchise of targeted therapies for hematologic disorders, building on our leadership in selected CDK inhibition for difficult-to-treat cancers and leveraging our foundational gene control discovery engine to fuel a robust and sustainable pipeline to support our long-term growth. 
 In the fourth quarter, we made tremendous progress on the first of these 3 priorities: strengthening our hematology franchise through the acquisition of 2101 and the announcement of new clinical data that support next steps for 1425, including a registration-enabling Phase III trial in RARA-positive patients with myelodysplastic syndrome, or MDS.  
 Let me begin with 2101, which we acquired from Orsenix in December. 2101 is a novel form of arsenic trioxide, or ATO, for patients with acute promyelocytic leukemia, or APL. We are incredibly excited about this program. Based on everything we know about this market and the overwhelming enthusiasm of physicians, we believe 2101 has the potential to quickly become the frontline standard of care and provide a huge benefit for the approximately 2,000 people in the U.S. and the EU who are diagnosed with APL each year.  
 As many of you know, IV ATO is a transformative therapy for APL, which in combination with ATRA, is curative for more than 80% of patients. But it comes with an enormously heavy treatment burden. The current course of treatment is up to 140 daily 2- to 4-hour infusions over the first year. As an oral agent, we believe 2101 could dramatically reduce the intense burden of treatment on patients and more broadly on the health care system.  
 We plan to initiate a dose confirmation study in the second half of the year, followed by a Phase III trial of 2101 plus ATRA in frontline APL next year. We believe a successful Phase III study could enable us to file an NDA as early as 2024.  
 Turning to 1425. We presented mature clinical data at ASH, which demonstrated compelling activity in RARA-positive, newly diagnosed unfit patients with acute myeloid leukemia, or AML. The profile of 1425, an oral-targeted therapy with compelling activity and a well-tolerated safety profile, gives us confidence that 1425 could serve as the foundation of care for RARA-positive patients with AML or MDS, and provide a clear path for further development across multiple underserved patient populations.  
 We are working hard to execute on our next wave of clinical studies with 1425 for RARA-positive patients. We are pleased to report that our Phase III trial of 1425 and azacitidine in RARA-positive, newly diagnosed, higher-risk MDS is now open for enrollment. If successful, this trial could enable a second NDA filing in 2024.  
 We also remain on track to initiate a randomized Phase II study evaluating the triplet regimen of 1425 plus venetoclax and azacitidine in RARA-positive, newly diagnosed unfit AML in the second half of this year.  
 Taken together, we view 2101 and 1425 as highly complementary assets, which provide us the opportunity to leverage our existing expertise and capabilities in hematologic disorders, and capitalize on synergies as we build out our commercial infrastructure to address 3 genomically defined patient populations with high unmet medical needs. 
 In parallel, we continue to make progress against our second and third strategic priorities by advancing our selected CDK inhibitor franchise in earlier stage pipeline. Following promising initial Phase I data for 5609 that we presented at the EORTC-NCI-AACR symposia in October 2020, we continue to actively enroll patients in our ongoing trial. We are on track to report additional dose escalation data from this study, including clinical activity data in the third quarter and to enter into the expansion phase of the trial in the second half of 2021.  
 Additionally, we are working hard to exploit the full power of our gene control discovery engine. To date, our platform continues to fuel a rich early-stage pipeline in cancer and monogenic diseases, including our most advanced preclinical program, which targets CDK12, a member of the transcriptional CDK family that offers distinct therapeutic opportunities from CDK7 inhibition and our 2 discovery stage partnerships with Global Blood Therapeutics and Incyte, which enable us to potentially accelerate our efforts and expand our reach to many more patients. We look forward to nominating our next development candidate in 2022.  
 Before turning the call over to David, let me take a moment to thank my colleagues at Syros. As we all know, 2020 was a difficult year and the initial months of 2021 have remained challenging. I could not be prouder or more appreciative of my colleagues for their continued hard work, resilience and dedication, which have enabled us to make excellent progress internally and in collaboration with our partners across each of our clinical and preclinical programs. I firmly believe that people are with distinguished great companies from good ones, and we have a tremendous team across the board here at Syros.  
 With that, let me turn the call over to David to review our recent data for 1425 as well as next steps for the program in both MDS and AML. David? 
David Roth: Thank you, Nancy, and good morning, everyone. 
 We believe there is a significant opportunity for 1425 across both MDS and AML. Approximately 30% of both patient populations are RARA positive, and many patients continue to be underserved, either due to the lack of effective options, tolerability challenges or a disease phenotype that is resistant to standard-of-care therapy. We believe 1425's unique constellation of attributes, including its oral delivery, targeted patient population, robust efficacy, and distinguished tolerability profile make it a highly differentiated therapy, with a meaningful opportunity to benefit thousands of patients in need of better options.  
 The data from our Phase II trial that we presented at ASH further strengthen our conviction in 1425. The Phase II trial was designed to assess the safety and efficacy of 1425 in combination with azacitidine. The trial included both RARA-positive and RARA-negative, newly diagnosed unfit AML patients as well as RARA-positive patients with relapsed/refractory AML.  
 As Nancy alluded to earlier, the data showed high complete response rates in RARA-positive patients as well as a rapid time to response and clinically meaningful durability. Importantly, the combination of 1425 and azacitidine was generally well tolerated, with no evidence of increased toxicities beyond what has been seen with either 1425 or azacitidine alone. Rates of myelosuppression, including neutropenia and anemia, were comparable to single-agent azacitidine in these patient populations and adverse events were consistent with prior clinical experience. The tolerability profile is so important in these generally elderly patients who need therapies to control their disease and not impact their quality of life. 
 We also presented new translational data at ASH, suggesting that the RARA biomarker not only selects for patients most likely to respond to 1425, but also enriches for patients likely to be resistant to the combination of venetoclax and azacitidine or ven/aza.  
 Despite the emergence of ven/aza, as standard of care in newly diagnosed unfit AML, over 30% of patients remain refractory to frontline therapy. Recent studies show these patients are enriched for a monocytic form of AML. Our data show that most RARA-positive patients, including those who achieved a CR or a CRi with 1425 have this form of AML, suggesting that the combination of 1425 and aza could benefit AML patients who are likely to be resistant to ven/aza. Based on these data, we believe we have a clear and compelling path forward for 1425 in both AML and MDS, and we are advancing into later stages of development in both indications.  
 Let me begin with MDS. We believe newly diagnosed, higher-risk MDS represents the ideal opportunity for 1425 in combination with aza. This is for 3 reasons. First, higher-risk MDS is closely related to AML. The 2 diseases exist on a continuum and are distinguished largely by the percent blasts in the bone marrow. In fact, about half of all higher-risk MDS patients eventually progress to AML. There's significant mortality and morbidity from disease-related cytopenias, making 1425's overall tolerability profile, including its combinability with aza without increasing hematologic toxicities, particularly attractive in this more chronic disease.  
 Second, we've seen 1425 single-agent activity in higher-risk MDS and high rates of complete responses in combination with aza in low blast count AML, which is close to MDS on the disease continuum. Third, we have the opportunity to set a new standard of care. Hypomethylating agents are the current standard, and they offer low CR rates with a median overall survival in the range of 15 to 25 months. 
 We recently initiated our Phase III trial of 1425 in combination with azacitidine in RARA-positive, newly diagnosed, high-risk MDS patients and are actively screening patients. This trial will enroll approximately 190 patients randomized 2:1 to receive either 1425 and azacitidine or azacitidine alone. The primary endpoint of the trial will be a complete response rate, which we believe, informed by feedback from the FDA, could support accelerated or full approval in this patient population.  
 Moving to AML. Based on the data linking the RARA biomarker with resistance to ven/aza, we also plan to initiate a randomized Phase II trial in the second half of the year, evaluating the triplet regimen of 1425 plus ven/aza compared to ven/aza alone in approximately 80 RARA-positive, newly diagnosed unfit AML patients. The rationale for this study is simple. We think the best approach in this patient population is a multipronged upfront approach that allows us to address the heterogeneity of AML. Our triplet strategy has the potential to reduce the emergence of resistant disease by simultaneously targeting both monocytic and non-monocytic leukemia cells that may also be present at the outset. Thus increasing the likelihood of deeper and more durable responses.  
 In closing, we believe 1425 has the potential to set new standards of care for targeted populations of patients with MDS and AML who currently have few options, and I'm excited about the opportunities that lie ahead to help these patients. I look forward to updating you on our progress as we continue to move through clinical development.  
 With that, let me turn the call over to Joe to review our fourth quarter and full year 2020 financial results. 
Joseph Ferra: Thank you, David. We are entering 2021 in a strong financial position. In January, we completed a $75.6 million public offering; and in December, we completed a $90.5 million private placement. Together, the proceeds from these financings extend our anticipated cash runway into 2023 and allow us to invest along our 3 strategic priorities: building franchises in hematology and CDK inhibition, while continuing to unlock the full potential of our gene control discovery engine. We are grateful to our new and existing investors for their continued support.  
 Turning now to our fourth quarter and full year 2020 financial results. We ended 2020 with $174 million in cash, cash equivalents and marketable securities compared with $91.4 million at the end of 2019. Our cash position as of December 31, 2020, does not include proceeds from our January 2021 follow-on offering.  
 We recognized $5.7 million in revenue in the fourth quarter of 2020, consisting of $3.6 million from our collaboration with GBT and $2.1 million from our collaboration with Incyte. For the full year 2020, we recognized $15.1 million in revenue, consisting of $11.7 million under our collaboration with GBT and $3.4 million under our collaboration with Incyte.  
 For the fourth quarter and full year of 2019, we recognized $0.5 million and $2 million, respectively. All revenues in 2019 were earned entirely under our collaboration with Incyte.  
 R&D expenses were $29 million in the fourth quarter of 2020 and $76.1 million for the full year 2020 as compared to $14.3 million for the fourth quarter of 2019 and $58.2 million for the full year 2019. This increase was primarily due to the $12 million paid for the acquisition of 2101 from Orsenix as well as the continued advancement of our 1425 and 5609 clinical trials and our preclinical programs.
 G&A expenses were $5.9 million in the fourth quarter of 2020 and $21.3 million for the full year 2020. For 2019, our G&A expenses were $6.4 million for the fourth quarter and $21.5 million for the full year.  
 Finally, we reported a net loss for the fourth quarter of $30.1 million or $0.62 per share compared to a net loss of $19.7 million or $0.46 per share for the same period in 2019. Our net loss for the full year 2020 was $84 million or $1.82 per share compared to a net loss of $75.4 million or $1.88 per share for the full year 2019.  
 With that, I will turn the call over to the operator for questions. Thank you very much. 
Operator: [Operator Instructions] I show our first question comes from the line of Phil Nadeau from Cowen. 
Philip Nadeau: Congrats on the progress. A few on the trials that you just described. First, for the randomized Phase II, as I missed it, I actually didn't hear where your primary endpoint is going to be. Can you discuss your choice of endpoint in light of the fact that it sounds like you're looking at the depth and durability of responses? So perhaps CR rate isn't -- wouldn't even be the correct end point, maybe you need some like MRD or progression free survival. 
Nancy Simonian: So I'm going to have David to answer that question. Great to talk to you. Go ahead, David. 
David Roth: Thanks, Phil. And so just provide the context. This is a randomized Phase II in RARA-positive, newly diagnosed unfit AML comparing the triplet of 1425 plus venetoclax and aza to venetoclax and aza. And for that, the primary endpoint is going to be the composite complete response rate. And we believe that this rate will very well reflect the clinical activity we expect to deliver with our triplet compared to the control arm, which is just that of ven/aza. 
 And just to remind you, again, from the data that we presented at the ASH meeting, we demonstrated that the majority of RARA-positive patients have this monocytic AML phenotype, which has been demonstrated by multiple independent groups to correlate with resistance to treatment with venetoclax in aza. So if this translates into the clinic as we anticipate it might, we would expect the control arm might do less well than what we generally think of for performance of that doublet in the population, and that would give us a technical advantage for this randomized approach. 
Philip Nadeau: Is there any way that you could look at MRD as an endpoint? Do the markers exist to differentiate the leukemic clones from normal in this patient population? 
David Roth: Absolutely. One could certainly look at MRD. And obviously, there's a lot of interest in seeing the depth of the response and how that translates into the duration of the response and long-term survival. I will say that in our current program in RARA-positive, newly diagnosed AML, we demonstrated a very high overall response rate of about 67%, 61% were CRs to CRis, which is consistent with the planned composite primary endpoint for the go-forward program against ven/aza. And almost all of those, about approximately 89% were deep responses, molecular or cytogenetic CRs. 
 So we are feeling really good about our current data and predicting the appropriate next steps and the path forward for this program in newly diagnosed AML. 
Philip Nadeau: That's very happy -- very helpful. Second question is on the Phase III study in high-risk MDS. Have you disclosed or would you be willing to disclose the powering of the trial? What CR rate are you assuming for the control arm versus treatment? And what's the power to detect that difference? 
David Roth: Yes. So we haven't provided that level of detail. What I can say is it's 1425 plus aza versus aza. It's -- 190 patients with complete response is the primary endpoint, randomized 2:1 using the CR and focus on RARA positive. This is all information that we plan to take forward informed by feedback from the FDA. So we're feeling really good about the strategy and confident in the way in which we've designed that. 
Philip Nadeau: Great. And then last question from us. In terms of 5609's proof-of-concept data coming out in Q3, can you give us some sense of what you need to see in an indication in order to continue to advance 5609 for that tumor type? 
David Roth: So again -- so 5609, this is our selective CDK7 inhibitor. We presented that data at ENA. That was our early data coming out of the Phase I. As you know, we're continuing in our dose escalation. We reported evaluating various regimens of 7 on, 7 off, 5 days on, 2 days off in escalating doses, and we have various tumor types and indications. We're setting the stage for advancing the program in either single agent or in combinations in specific patient populations that certainly will be informed by the data. 
 Obviously, the ability to continue to demonstrate a tolerable safety profile, which we're very pleased to have demonstrated in the context of achieving proof of mechanism at doses that were tolerable, that will inform how we want to take this forward. We're looking at our biological activity through the PD markers that we've employed in this study to help inform the best next steps. And I think generally, the totality of the data is going to really help frame how we pick the specific tumor types and the potential combinations to take it forward. 
Operator: Our next question comes from the line of Ted Tenthoff from Piper Sandler. 
Edward Tenthoff: Great. Congrats on all the progress, excited for this year. I wanted to ask about 5609 and sort of the expectations there. There's been a lot going on in breast cancer in general. And just wanted to get a sense if you see sort of the changing landscape, changing your thinking about the combo and the potential path -- development path. 
Nancy Simonian: Yes, Ted, we are -- remain very excited about the opportunity for 5609. With this single target, the suggests that it could work across a whole range of difficult-to-treat tumors. And obviously, our dose escalation study, we're examining multiple different tumor types, including breast cancer, both HR-positive with fulvestrant, as well as in the single-agent patients including triple-negative breast. So as we think about the go forward, as David said earlier, we're going to be looking at the combination of the data that we're generating during the dose escalation, the unmet medical need in that patient population, what else is emerging in that space and where are some optimal places to take it forward in expansion to get to proof-of-concept and plan forward for its commercialization. 
 So we're fully aware of what's happening in the HR-positive breast cancer landscape and more novel endocrine therapies coming forward, which we think is really exciting and also offers opportunities for us to think about how we develop 5609 in the next space. But we will be looking at the totality of both the data from the trial as well as what's happening in the external landscape. But we think that there is a tremendous opportunity across many different tumors, including breast cancer with 5609. 
Operator: Our next question comes from the line of Jason Butler from JMP Securities. 
Jason Butler: Just had 1 on 1425 and MDS. Can you maybe just talk to us a little bit about -- I know you're not disclosing the powering, but based on your interactions with physicians, what you would need to see to change standard of care and whether or not CR rate would be enough data, a benefit there would be enough to change standard of care? 
Nancy Simonian: Let me start out, and then I'm going to turn it over to David. We -- as you know, in the higher-risk MDS space, there hasn't been a new drug approved other than HMAs in decades and azacitidine alone provides limited opportunity for these patients. And I think what we find quite compelling about the 1425 profile in MDS, and obviously, this is in discussion with physicians is one of the major problems these patients have is they have sort of cytopenias related to their disease, neutropenia, as an example, and they get into infection-related complications or require a lot of transfusions and that results in a lot of morbidity and mortality from the disease. 
 So the opportunity to have a drug that doesn't -- can give efficacy but doesn't exacerbate the cytopenias is, I think, a really compelling profile that physicians have expressed to us. In these patients, it's a little bit more of a chronic disease. It's not like they're acutely blasting off from their AML. So something that is works well, well tolerated, convenient. These patients are typically outpatients as -- is a really wonderful profile. 
 But David, let me turn it over to you and see if you can add a little bit more about the CRs and endpoint and how physicians feel about this. 
David Roth: Yes. No, it's an important question. And I think that we are obviously looking at the totality of our data. The CR endpoint is an accepted surrogate for long-term benefit. And technically, it may serve our purposes for obtaining an accelerated approval or even a full approval based on the totality of our data package. And as you're assuming, I'm sure the other data that we'll be collecting is going to help the swift evolution of the standard of care to include 1425 for RARA-positive patients, and that's what we're expecting.
 We'll be looking at other parameters that will help provide that convincing evidence. So for instance, things like transfusion independence, hematologic improvement, which involves the normalization of the peripheral blood counts that can be so problematic for these patients, as Nancy mentioned. The length of -- duration of the response and survival and things of that nature, will all roll up into what we believe will be a compelling reason for adoption of this drug in the treatment of these patients. 
Operator: Our next question comes from the line of Mark Breidenbach from Oppenheimer. 
Mark Breidenbach: This one's probably aimed toward David. But just with respect to the Phase III trial in MDS, are there any plans to include interim analysis before enrolling the full 190 patients? 
David Roth: Yes. A good question. So we've currently not been very specific with the details. Our current plans are that, as we said today, we've initiated the trial. We're very proud of that. It's open for enrollment. And our estimates and projections at this point would have us filing an NDA in the 2024 time frame. We haven't provided additional guidance to when data would be available and made public. 
Mark Breidenbach: Okay. Understood. And with respect to 5609, are the expansion cohorts likely going to be inclusive of all the same tumor types that made it into Phase I dose escalation? Or do you think they're going to be going after a narrow -- a more narrow or more specific subset of tumor types in expansion? 
David Roth: So -- another good question. So right now, our current plan for that trial is to share data in the third quarter. We would expect this data to include additional information from the patients that have been enrolled at the time of ENA and then those subsequently enrolled to help better understand what the objectives of the trial we're seeking to understand the safety. And also, we're going to have a focus on clinical activity. So we're excited about that. 
 And then in the second half, we'll be opening these expansions. We haven't provided more  information on the nature of what those expansions would be like. I think we certainly look to our experience to help inform our decision-making. I mean generally, we are data-driven in that respect. So right now, we are focused on patients with pancreatic, colorectal, lung, breast, ovarian cancer as a single agent. We also have a combination with fulvestrant. But we also have lots of other work going on to explore other things that will potentially find their way into the study design, depending on how our data sorts itself out. So we'll give you more context on that around the time of the expansions that are moving forward. 
Mark Breidenbach: Okay. Okay. Fair enough. And... 
Nancy Simonian: Maybe, Mark, I'd just add that, generally, if you look at what we did with 1365, and it's pretty typical when you -- one moves into an expansion phase that various expansion cohorts are a more homogeneous set of patients. So that's what we've done with 1365. And I think it's something that one can expect. So as you hone in for that next phase, you focus in on one or more populations based on multiple cohorts. 
Mark Breidenbach: Got it. Got it. And finally, just 1 last quick one. Do you have any plans to present preclinical data this year from either of the fetal hemoglobin inducers? So we haven't heard much from that program in a while, just curious. 
Nancy Simonian: Yes. We're -- the discovery partnership with Global Blood Therapeutics is going very well. I'm really excited about that. They're really wonderful partners, and we continue to be very bullish about the opportunity to provide a potential functional cure with a small molecule. Given that relationship, we have not disclosed when we're going to be presenting data or if, but I would just say it's been to date, highly productive collaboration with Global Bond. 
Operator: Our next question comes from the line of Zegbeh Jallah from ROTH Capital. 
Zegbeh Jallah: Just have 2 quick questions. Excited about the progress of 1425, specifically. So I just wanted to ask if you had any updates regarding the development of a companion diagnostics for that program? And then any factors influencing the time line for the ATO program? I think you said an NDA in 2024. So I just kind of wanted to understand the mechanics around that. 
Nancy Simonian: Yes, Zegbeh. So yes, the companion diagnostic is a very important part of the development strategy for 1425 because at the end of the day, we will be launching that drug in the RARA-positive patient population. We've had a clinical trial assay in place that's been quite robust, and we are in parallel working on the development of a companion diagnostic. We haven't given more detail, but suffice it to say that, that development is very important and is progressing quite nicely in parallel with clinical development.
 I'm sorry, your second question, Zegbeh? 
Zegbeh Jallah: Just provide the time line for the ATO program. 
Nancy Simonian: Yes. So we just acquired the asset in December, and the team has done, the Syros team, a remarkable job pulling together things very quickly that enables us to initiate the dose confirmation study in the second half of this year and to be gearing up to start a Phase III trial next year. So we're excited about both the asset and the pace upon which the team has been able to very quickly pull everything together to be on the cusp of starting -- a potential Phase III start next year, which obviously involves both the clinical work, but a lot of the manufacturing work as well. So we feel great about that. 
 And I think the other thing is we've just added a tremendous amount of enthusiasm from the KOLs in the field that just, I think, underscores just how much of a need there is for this therapy, and that gives us a lot of great confidence in the execution on the plan as well. 
 So does that help answer your question, Zegbeh? Okay. Awesome. Great to talk to you. 
Operator: [Operator Instructions] I show our next question comes from the line of Matthew Cross from Alliance Global. 
Matthew Cross: A couple of questions from me, both relating to the Phase II triplet study with ven/aza. In particular, I guess, I was wondering if anything had been decided about the dosing considerations for adding in ven, in order to manage cytopenias and the like or maybe to balance out some of the 1425 specific toxs we've seen, such as the hypertriglyceridemia. 
 And then second one was, Gilead just posted a new Phase III study yesterday, I believe, of magrolimab plus aza compared to ven/aza or 7+3 in TP53 mutant AML. And I guess, I'm curious how you think about the positioning of 1425 as an add-on therapy to ven/aza as these efforts to maybe replace ven/aza in certain settings advance? Do you feel there's any meaningful risk that by the time you're looking at a Phase III study in newly diagnosed AML, the landscape may have shifted away from ven/aza as a backbone to combine with? 
David Roth: Okay. So maybe I'll start with the initial part of the question and that relates to the dosing. So I mentioned a little earlier that where we're going to be dosing 1425 plus venetoclax and aza versus venetoclax and aza, the trial is designed and planned to start in the second half of this year, making great progress on that. We've got great enthusiasm and input from the cadre of experts that are going to help deliver that strategy together with us. That will proceed with a very brief safety lead-in just to focus on the question you're sort of getting at with how it's all going to be dosed. And we haven't provided more detail on the specifics of that strategy, but I think we have a fairly straightforward plan. 
 And I think it's also important to remind you that one of the attributes of SY-1425, which increases our conviction of why it's going to be so important for use in these populations is that it's not known to be a myelosuppressive drug. And its generally well-tolerated safety profile affords it the ability to be used in various combination contexts. We don't anticipate additive toxicities. We haven't seen concerning issues that would suggest we're going to run into challenges there. So that's why we are going to start just to make sure and dot our i's and cross our t's to do that to start with. But we expect this to move forward efficiently through that initial phase.
 You asked a question about the adverse events with the triglycerides. And those have largely been a laboratory abnormalities that have been clinically quiet, so to speak, and we don't expect that to cause problems in this particular population that we're focused on. 
Nancy Simonian: And that, on the aspect of just where the field is going and other combinations, this is -- obviously, the AML space is a very dynamic space. We are -- we feel quite confident that ven/aza is currently kind of the standard of care and will continue to be an important standard of care going forward. But the really great thing about 1425 is that it combined -- we believe it has the opportunity to combine well with multiple different drugs. It's a novel mechanism of action. It doesn't have the associated toxicities of other drugs. And so as additional doublets or triplets are emerging in the field, we think that will just provide an opportunity for us to think about how to have 1425 also part of that backbone. 
 And I think back to the days of development of VELCADE in myeloma and as it was exactly that, we were combining with a couple of things. And then as things were emerging, we didn't have overlapping toxicities, and we were able to look at a variety of different sort of doublets and triplets. So we are watching the competitive and commercial landscape very carefully to ensure that we have a strategy that will best position us where the market is going to be in the future. 
Operator: I show no further questions in the queue. At this time, I'd like to turn the call back to Dr. Nancy Simonian, CEO, for closing remarks. 
Nancy Simonian: Thank you, operator. I want to thank you all for joining us today and for your continued support of Syros. We are focused on executing against 3 strategic priorities and advancing toward our vision of building Syros into a fully integrated biopharmaceutical company with a portfolio of targeted medicines that make a profound difference for people with cancer and monogenic diseases. Thank you so much. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.